Operator: Welcome to the Socket Mobile, Inc. Q4 2024 Earnings Call. My name is Jen, and I will be your operator for today's call. Before we begin, I'd like to remind everyone that this conference call may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities and Exchange Act of 1934 as amended. Such forward-looking statements include, but are not limited to, statements regarding mobile data collection and mobile data collection products, including details on timing, distribution and market acceptance of products and statements predicting the trends, sales and market conditions and opportunities in the markets in which Socket Mobile sells its products. Such statements involve risks and uncertainties, and actual results could differ materially from the results anticipated in such forward-looking statements because of a number of factors, including, but not limited to, the risk that manufacture of Socket's products may be delayed or not rolled out as predicted due to technological, market or financial factors, including the availability of product components and necessary working capital; the risk that market acceptance and sales opportunities may not happen as anticipated; the risk that Socket's application partners and current distribution channels may choose not to distribute the products or may not be successful in doing so; the risk that acceptance of Socket's products in vertical application markets may not happen as anticipated; as well as other risks described in Socket's most recent Form 10-K and 10-Q reports filed with the Securities and Exchange Commission. Socket does not undertake any obligation to update any such forward-looking statements. On the call with me today are Kevin Mills, Chief Executive Officer; Dave Holmes, Chief Business Officer; and Lynn Zhao, Chief Financial Officer. I will now turn the call over to Kevin Mills. Kevin Mills, you may begin.
Kevin Mills: Thank you, operator. Good afternoon, everyone, and thank you for joining us today. Our revenue for 2024 was $18.8 million, an increase of 10% over 2023. We recorded margins for the year of 50.4%, a slight increase over the 49.7% recorded in 2023. Our operating loss was $2.5 million, a slight improvement over the $3.1 million loss in 2023. A significant portion of our operating loss related to employee equity compensation. Overall, 2024 was a difficult year from a revenue point of view. We started 2024 with an expectation that we would be able to add revenue in the latter portion of the year from our Xtreme products. The Xtreme products are targeted at the industrial market. During the year, we engaged with a good number of customers, received positive feedback on our solution and experienced a good level of interest from customers. However, the evaluations have taken much longer than we expected and as a result we did not have any meaningful deployment in 2024. We are continuing to work with these potential customers and do expect to see deployments in 2025 that will enable us to grow our revenue and establish a foothold in the industrial market. In 2024 we spent $4.7 million on R&D, primarily on improvements to our CaptureSDK, which continues to be the foundation of our business. We upgraded our CaptureSDK in significant ways and we currently support all the major operating systems and the top three cross development platforms, which is allowing us to grow our brace of applications that support our data capture solutions. With that said, I’d now like to turn the call over to Dave Holmes who will outline our plans for 2025. Dave?
Dave Holmes: Thank you, Kevin. Good afternoon, everyone. As Kevin said today, I’d like to highlight a few of the significant milestones that we achieved in 2024 and talk a little bit about what we are focused on in 2025. In 2024 we concentrated on expanding our market presence in new markets with the launch of several new products primarily focused on the industrial environments. Although adoption has taken longer than we expected, we now have several positive proof points that point to our investments in this category beginning to pay off in 2025, including our first long-term commitment from a Fortune 50 Tier 1 industrial customer. The ruggedized scanning market is large and our entry into this space will help us diversify our business beyond retail. XtremeScan product line is comprised of three different configurations, XtremeScan Case, XtremeScan and XtremeScan Grip, all designed for iPhone. This product family represents a significant milestone in our commitment to delivering high quality data capture solutions for our customers in industrial, manufacturing, warehousing, oil and gas and airports. XtremeScan is designed to enable iPhones to withstand harsh industrial conditions, offering robust scanning capabilities with military grade durability. This opens the door to new customer segments that demand the ultimate performance in the most difficult environments. The XtremeScan product family grew in 2024 with the introduction of several XtremeScan Mag devices designed for the increasing number of workers who use a single phone for both personal and business needs. The Bring Your Own Device or BYOD category represents a significant yet underserved market where we see strong growth potential. XtremeScan is fully compatible with iPhone 16e. iPhone 16e is a durable, cost-effective device ideally suited for industrial environments. With an extra-long battery life, enhanced drop resistance, and the trusted iOS platform, it is expected to quickly become the go-to device for demanding industrial sectors. XtremeScan, combined with iPhone 16e will empower industrial businesses with durable, adaptable and future-forward data capture technology. We believe that iPhone 16e makes the choice for enterprise customers a lot easier. This clarity allows decision-makers to feel good about the device commitment they are investing in. Over 80% of young people in the U.S. are iPhone users. As these people move into the workforce and become frontline workers, employers can deploy familiar devices with a well-known operating system and user experience to help minimize training and mistakes and maximize productivity. iPhone 16e with XtremeScan can become an obvious choice for industrial customers with data capture needs for digitizing their workflows. Beyond new products, we also invested in our customer and developer experience in 2024 by introducing a new website, developer portal and AI-powered developer support, which we call Alfred. Alfred is helping our developers around the world with multilingual support to integrate our Capture SDK into their apps so they can enable best-in-class scanning capabilities into their mobile apps. Our new product and technology investments will extend our reach and diversify our customer base. Ultimately, this will make us more sustainable and less dependent on retail as we become a more complete data capture company. With that, I'll turn it over to Lynn for more details on our financial results. Lynn?
Lynn Zhao: Thanks, Dave. Good afternoon, everyone. Our 2024 revenue increased to 10.2% year-over-year compared to $17 million in 2023. Gross margin rose to 50.4%, up from 49.7% in 2023, driven by the allocation of manufacturing overhead costs across higher production volumes. Operating expenses for the year reached $11.9 million, reflecting a 2.8% increase from $11.6 million in 2023, primarily due to higher payroll-related expenses from salary adjustments and increased benefits costs. In 2024, we reported an operating loss of $2.5 million compared to $3.1 million loss in 2023. The net loss per share was $0.30 in 2024 compared to $0.27 in 2023. Both years reflect the adoption of Section 174 of the Tax Cuts and Jobs Act of 2017, requiring capitalization and amortization of R&D expenditures. Adjusted EBITDA for 2024 was negative $318,000 compared to a negative $1 million in 2023. Revenue in Q4 2024 grew 10% year-over-year to $4.8 million, up from $4.4 million in the prior year quarter and increased 25% sequentially from $3.9 million in Q3 2024. Gross margin for the Q4 was 51% compared to 52.8% in Q4 2023 and 49% in Q3 2024. Operating expenses for Q4 reached $2.9 million, marking a 2.9% year-over-year increase, but a 1.8% sequential decrease from the preceding quarter. We recorded a Q4 operating loss of $411,000 compared to $475,000 loss in Q4 2023 and $1 million loss in the preceding quarter. Q4 adjusted EBITDA was $138,000, up from $52,000 in Q4 2023 and $505,000 loss in Q3 2024. Diluted earnings per share in Q4 was $0.00 compared to $0.08 in Q4 2023. Both quarters included income tax benefits of $550,000 and $1.4 million, respectively. Turning to our balance sheet. We ended 2024 [ph] with a cash balance of $2.5 million. During the year, we invested $0.8 million in capital expenditure, spent $0.5 million in operations and raised $1 million through the issuance of subordinated convertible notes. As of December 31, 2024, our inventory level net of reserves stood at $4.9 million compared to $5.4 million a year earlier. This wraps up our prepared remarks. Now I'll hand the call over to the operator for questions. Jen?
Operator: Thank you. [Operator Instructions] And our first question will come from Steve Swanson, Investor.
Steve Swanson: Good afternoon. Are we going to need to raise any cash this year? And If so, how much and when do you foresee that happening?
Kevin Mills: Currently, we do not have any plans to raise cash this year. So, we start the year with enough cash. We expect the first six months to be a little bit of a strain on our cash, but then we expect in the second half to be cash positive. But we don't expect to raise any cash this year right now. So that's the current plan.
Steve Swanson: All right, thanks.
Operator: [Operator Instructions] And it appears there are no further questions at this time. Kevin, I'll turn the conference back to you.
Kevin Mills: Thank you, operator. I'd just like to thank everyone for participating and wish you all a good afternoon. Thank you.
Operator: And this concludes today's conference call. Thank you for attending.